Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Third Quarter 2020 National Instruments Earnings Conference Call.  I'd now like to hand the conference over to your host today, Marissa Vidaurri, Head of Investor Relations. Please go ahead.
Marissa Vidaurri: Good afternoon. Thank you for joining our Q3, 2020 earnings call. I'm joined today by Eric Starkloff, President and Chief Executive Officer; and Karen Rapp, Chief Financial Officer. We will start with an update on our performance in the third quarter and share our outlook for Q4 before opening up for your questions. Our discussion today will include forward-looking statements, including statements regarding future growth and profitability, our focus, plans, objectives, targets, goals, position, capital allocation plans, dividend, expense management plans, charges, revenue guidance and our outlook. We wish to caution you that such statements are just predictions and that actual events or results may differ materially and to be negatively impacted by numerous factors, including any uncertainties related to the COVID-19 pandemic and further economic and market disruptions resulting from COVID-19. Any further weakness in the global economy and changes in the current global trade regulatory environment. We refer you to the documents that the company files regularly with the Securities and Exchange Commission, including the company's annual report on Form 10-K filed on February 20, 2020, and the company's quarterly report on Form 10-Q filed on August 4, 2020. These documents contain and identify important factors that could cause our actual results to differ materially from those contained in our forward-looking statements. We assume no duty to update any forward-looking statement to conform the statement to actual results or changes in our expectations. A reconciliation of our non-GAAP financial measures disclosed in this call to the most directly comparable GAAP financial measures or related disclosures are contained in our press release and on ni.com/nati. NI management will be hosting meetings at the Baird, Stifel and RBC conferences next month. For dates, please visit ni.com/nati. With that, I will now turn the call over to Chief Executive Officer, Eric Starkloff.
Eric Starkloff: Thank you, Marissa, and good afternoon. I appreciate everyone joining us today and hope you and your families remain safe and well. We were pleased to come in above the midpoint of our guidance for revenue and earnings. We're also pleased that despite remaining challenges to the global economy, we did see some improvement in key parts of our business during the quarter. Karen will discuss more details on our results later in the call. We also continue to make significant progress on our long-term growth strategy, and I will discuss details of that progress now, as well as provide some color on our third quarter industry results before handing it over to Karen. At a recent investor conference, I shared our ambition to disrupt our industry once again, redefining the way our customers approach test and measurement. Software is absolutely critical to this ambition. And test data is also an important ingredient. It is uniquely valuable because nothing else tells our customers how their products will actually perform in the real world. We aim to make test a key enabler of product performance by integrating automated test systems and test data analytics to create a digital thread of data that goes across engineering and manufacturing workflows. I believe we are in a unique position to accomplish this goal. Today, we offer the most comprehensive set of driver level software, application software, test operation software and now data analytics in our industry. We already serve applications from validation through production within each industry focus area, and we have solid expertise in the automation of testing in these systems. As the complexity of our customers' products continues to grow and scale, many of the manual steps will need to be automated by intelligent systems, and I believe we are in the best position to lead that change. This vision is the foundation of our growth strategy, and we are prioritizing our investments to achieve it. We are focusing our execution on this vision through four strategic pillars: software, systems, services and a more streamlined buying process for our customers. Our plan includes the following. We'll elevate our software position through new offerings, particularly at the enterprise level, and we aspire to increase our software revenue from 20% of revenue today to 30% over time, shifting toward primarily recurring or subscription-based software. We will expand on our system-level offerings to provide a higher level starting point for our customers and increase our share of wallet. We will increase services where we believe our expertise offers clear differentiation and value. And we will continue to streamline the process of doing business with NI. The focus to streamline, especially for our large base of smaller accounts is the next natural evolution in our sales transformation. We are focused on driving more efficiency in the ways we serve and support our broad-based customers while still helping to ensure their success. Over the past several years, we have driven scale and leverage in our marketing, sales and support model. We are committed to both reducing our costs and improving the experiences of a large number of smaller accounts we serve. For these customers, we will continue to optimize how they engage with NI, including further utilizing our e-commerce for lower touch and evaluating where distribution can improve efficiency and customer reach. We will continue to focus our expert sales force on system-level opportunities in our top potential accounts. We remain focused on driving growth through our strategy despite economic uncertainty and are aligning expenses with our expectations. Although we believe a macro tailwind is in our future, we are taking action now to better serve our customers while aligning the capacity needed to achieve our long-term goals. As part of these efforts, we have made the difficult but necessary decision to reduce our global workforce by approximately 9%, with most of that reduction in SG&A. We believe these efforts will accelerate our growth strategy and enable us to make the necessary investments across the business to hit our long-term financial goals. Being a leader in our space requires bold moves, and we are committed to delivering a high level of performance as a company to help exceed the expectations of our stakeholders. Now turning to our industry results for this quarter. In semiconductor, as we expected, orders were down high single digits year-over-year in Q3, though we remain on pace for a record year. We believe millimeter wave is beginning to show increased adoption with the release of 5G cellphones, which will drive more millimeter wave enabled networks. We also continue to experience some negative impact in the semiconductor space from the heightened U.S.-China trade tensions. Serving automated testing for early research through validation and production test opens up a unique opportunity for us to support our customers' needs throughout their design flow. We are making significant progress on our design-to-test offering through leverage of key relationships with industry leaders like our strategic alliance with Cadence and through our recently announced strategic agreement with Soliton. As we attempt to solve a long-standing problem of allowing customers to link, design and test workflows, we are seeing strong interest from many leading semiconductor companies who will provide critical product feedback in early stages of solution development. In Q3, orders for transportation continued to be weak, down low double digits year-over-year as the headwind in automobile production continued. Though we did see year-over-year growth in the areas of focus around electrification and active safety systems. For aerospace, defense and government, orders were up low single digits year-over-year in Q3, and what has continued to be a relatively steady spending environment, particularly in the U.S. In the third quarter, we saw strong pipeline growth with growth in orders over $20,000 year-over-year, specifically in the Americas in the major accounts where we are focused. Orders in our portfolio business were down low double digits year-over-year in Q3 due to a slow recovery in the broad based business. Orders in this business did improve sequentially, in line with recent stability in the global PMI and improvement sequentially in orders under $20,000. We believe the actions we are taking to streamline our business, to focus on top line opportunities and to expand our reach to customers, will have a positive impact to our portfolio business going forward. We remain focused on execution in the areas of our business that can drive our growth even within the constraints of what has been an overall weaker spending environment. The actions we are taking on both reductions and investments are focused on achieving that growth. We will continue to adapt in the short-term, while remaining focused on achieving the long-term financial targets that we have set out. With that, I'll turn over the call to our Chief Financial Officer, Karen Rapp, before closing with a few comments.
Karen Rapp: Thanks, Eric. We closed the third quarter with GAAP revenue of $308 million, down 9% year-over-year and above the midpoint of our guidance. In Q3, orders were down 7% year-over-year. Orders under $20,000 were down 11% year-over-year with sequential improvement from Q2, 2020. Orders over $20,000 were down 4% year-over-year, as expected, primarily due to the impact of China regulations, continued weakness in transportation and overall weakness in Europe. In the Americas, orders were flat year-over-year, EMEA was down 16% year-over-year, and Asia Pacific was down 7% year-over-year. Entering the fourth quarter, we are pleased to see orders trending up both in the pipeline and our broad based business. Q4 quarter-to-date orders are trending up across all regions as well Non-GAAP gross margin in Q3 was 74.1%. We continue to see about 70 basis points of impact from additional costs related to COVID-19. Services has been an accretive growth area for us, and we will continue to focus on monetizing the services we provide and leveraging our services expertise to drive high-value system sales. This operational change shifted approximately $3 million from operating expenses to cost of goods sold in Q3, but had no impact on operating margin. We are on track to the full year gross margin target of 75% that we outlined in our 2020 model at our investor conference in August. Non-GAAP operating margin in Q3 was 13%. The company reported a Q3 GAAP net loss of $4.6 million and diluted earnings per share of minus $0.04 per share. Included in our GAAP net loss is a onetime charge of $4 million related to the acceleration of certain unvested options that were assumed as part of our optimal plus acquisition. This amount was not included in our GAAP earnings per share guidance reported in July. Q3 non-GAAP net income was $30 million, and non-GAAP earnings per share was $0.23, which is $0.02 above the midpoint of our guidance. We had modeled Q3, 2020 as the bottom of the trough for NI, and we believe this assumption is valid, and we will begin to see recovery moving forward. We believe that we are also on track to the full year operating margin target of 15% that we outlined in our 2020 model at our investor conference in August. Our balance sheet remains strong. We ended the quarter with $290 million in cash and investments. With the improved credit environment, we anticipate amending our existing credit agreement on October 30, 2020, to increase the revolving line of credit, refinance the existing term loan and increase our incremental borrowing capacity. We anticipate that the amended agreement will include other changes that are beneficial to the company. In the short term, we did not expect a material change in our level of outstanding debt. For the first nine months, our cash flow from operations was $109 million, representing 12% of revenue. I believe this consistent and solid result demonstrates the benefit of the diversity and resiliency of our business model. Our capital allocation priorities remain clear and unchanged. We plan to continue to invest in innovation and technology to stay ahead of the needs of our customers and deliver a world-class customer experience. Dividends remain a priority. In Q3, we paid $34 million in dividends. The NI Board of Directors has approved a dividend of $0.26 per share, payable on December 7, 2020, to stockholders of record on November 16, 2020. We will continue to be opportunistic with share repurchase. In the third quarter, we returned $16 million to shareholders through repurchases of 447,000 shares of common stock at an average price of $34.86 per share. We view our strong cash position as not only a way to provide returns for our shareholders through dividends and opportunistic share repurchase, but also for strategic investments for long-term growth and stability. Our M&A funnel has been focused on identifying technology to leverage across our platform and on strategic accelerators to achieve our growth targets faster. We're pleased with the progress of the integration of OptimalPlus. The alignment and synergy with our strategy and areas of focus has already been evident. Because the OptimalPlus technology is being integrated with the NI platform and the revised offerings will combine NI and OptimalPlus technology, we do not intend to break out financial details specific to OptimalPlus going forward. We have been encouraged by the improvement in the global PMI during the third quarter, indicating a sequential improvement in the macro economy. Although global GDP still remains negative year-over-year. Despite some positive signs in our business, we remain cautious as there is still quite a bit of uncertainty, including a possible contraction due to another wave of the virus. For the fourth quarter of 2020, we currently expect GAAP revenue to be in the range of $333 million to $363 million. We expect total non-GAAP revenue, which adjusts for the impact of purchase price accounting related to OptimalPlus to be in the range of $335 million to $365 million. At the midpoint, this represents 13% sequential growth versus Q3, 2020. We expect GAAP fully diluted earnings per share will be in the range of minus $0.04 to $0.10 for Q4, with non-GAAP fully diluted earnings per share expected to be in the range of $0.32 to $0.46. We remain dedicated to serving our customers in China, a region of focus for NI, while also complying with relevant export regulations. We continue to see a negative impact of approximately 3% of revenue per quarter from the expanded trade regulations and geopolitical landscape, which is built into our guidance. As Eric mentioned, we're committed to executing to our operating model and strategic plans. Included in our Q4 GAAP earnings per share guidance is approximately $0.13 of restructuring charges. We expect operating expense savings from this restructuring to begin in Q1, 2021. We're taking these actions to strategically align our resources for growth and cost savings. We expect minimal restructuring charges in 2021. In summary, we delivered Q3 revenue above the midpoint of guidance despite the current economic uncertainty. This is a testament to the hard work and adaptability of all our employees globally. I believe this is also indicative of the stability provided by our broad customer base and industry diversity, the value customers see in our innovative platform and the strength of our operational efficiency. We will continue to align resources to higher growth opportunities while reducing costs in pursuit of our long-term financial model. We believe our strong balance sheet puts us in a position of strength and stability through this global pandemic and what lies ahead. Now I'd like to turn the call back over to Eric for some closing comments.
Eric Starkloff: Thank you, Karen. In challenging times, I believe that people, leadership and strategy matter. My leadership team is aligned on positioning us to win and taking the right actions to do so. Building on our unique software position, we believe we have the opportunity to once again, modernize and disrupt our industry. As a business, we have and will continue to take a broad range of actions to Ignite growth. We must align and grow our capabilities to increase our pace of innovation to match the needs of our customers. This includes shifting existing resources and talent to focus on high-growth opportunities and adapting the way we sell to and support our customers, particularly within our smaller accounts. The reducing the overall size of our workforce, we will continue to hire key expertise where needed to execute our strategy. And we will continue to view potential inorganic investments as strategic growth accelerators with the opportunity to address a broader range of customer needs. I want to end by recognizing our employees for their resiliency in a challenging time. We have taken many of the necessary steps to transform NI, but we must be bolder and move faster, even while simultaneously managing the uncertainty taking place in the world around us. Part of being a great business is making the tough decisions that put us in the best position to serve our customers and to win. I remain confident in our opportunity as we continue to invest in the technologies and capabilities needed to reach our vision and to disrupt our industry. With that, we will now open it up for your questions.
Operator:  Our first question comes from Richard Eastman with Baird. Your line is now open.
Richard Eastman: Yes, good afternoon. Eric, maybe a little bit more color around the semiconductor, down high single digits. Again, I know we expected that. But we also have seen, maybe a little bit more strength than we thought toward the end of the third quarter than entering the third quarter. And I'm curious, again, with all the activity around the smart -- the mobile market, the smartphone market and the big introduction cycle that we're on here around millimeter wave for one of the biggest U.S. players there. Where are we involved at all on the test side? I mean, we don't see that in the portfolio of products business, and I think you referenced some of the network stuff around semiconductor. So maybe just some color around the semiconductor piece of the business and then also the mobile handset test business, which I know would normally show up in portfolio products.
Eric Starkloff: Yes. Thanks, Rick. Great question. So as you alluded to, the -- look, we expected based on sort of timing, we expected the semiconductor business to be negative in Q3. So it wasn't outside of our expectations. And as I mentioned, we're still -- it's on pace for a record year. We're still quite optimistic about the short and long-term prospects for that business. There's a couple of things kind of going on there. So 5G, obviously, we've kind of had a lot of success in the sub-6 gigahertz 5G has been a growth driver for that business. And a you mentioned, now we're starting to see some additional traction in millimeter wave. Our view on millimeter wave. Obviously, we've got product in market now. We primarily sell into the infrastructure of semiconductor devices that are used in infrastructure. Those -- we expect that to be ramping primarily in next year, probably peaking the year after that. But as I mentioned, we are selling products into that space now. Certainly, as you mentioned, the fact that there's -- the most popular cellphone in the world has a millimeter wave and the latest version is a good sign for infrastructure and for the demand for millimeter wave infrastructure. So I think our optimism is probably ticking up a little bit on that side. Now in semiconductor, we also have some of the things that are more challenging, which is that the China regulations, as we mentioned, that obviously affects some of our semiconductor business in China. And then we also sell a lot into the sort of general industrial mixed-signal semiconductors. I think that the sort of TIs and ADIs of the world, which have been a little bit more moderate in their business over the last couple of quarters. So on -- then to the last part of your question about portfolio, we have some exposure into the mobile handset test for a variety of different types of measurements. That's not a primary area of focus. When we think about 5G, we're mostly focused on the semiconductor opportunity.
Richard Eastman: Okay. And then just as a follow-up, can I ask with the restructuring here and the realignment, the headcount reduction, the realignment there with those assets. But what kind of savings can we anticipate off of that restructuring charge? Is -- what kind of a payback do you expect on that in '21?
Karen Rapp: Yes, Rick. Hi, it's Karen. We're -- as Eric talked about, we'll be redirecting some of that into investments, some of the key investments that we've been talking about for a while now with serving our customers more completely with a streamlined buying process, the systems evolution that we've been going through. So redirecting those funds into those 4Ss, as Eric laid out. So what we'll do is we'll be laying that out each quarter, as we understand more closely what revenue is going to look like and how we can align those costs with that revenue growth. But the model I'd refer you back to is the one we used for the long-term model back in August. When we laid out the three year plan, the 2023 goal, we talked about SG&A being closer to 36 -- 35% to 36% of our revenue. And we believe that with this restructuring that we're doing, we'll be able to accelerate much closer to that model in 2021, specifically for that line of SG&A, where we're putting the focus.
Richard Eastman: Okay. Okay. Very good. Thank you.
Eric Starkloff: Thanks, Rick.
Operator: Our next question comes from Mehdi Hosseini with SIG. Your line is now open.
Mehdi Hosseini: Yes, thanks for taking my question. Two follow-ups. Karen, did I hear you correct as for 2020, your operating margin is going to go back to 15%? And if that's the case, then you're exiting the year at almost 20% operating margin. I just want to make sure I understood. Then I have a follow-up.
Karen Rapp: Yes. Mehdi, that's the plan that we laid out back in August was the 15%, and we still believe we're on track for that for the end of -- for the full year 2020.
Mehdi Hosseini: Okay. Got you. And then I want to think back on OptimalPlus. How are you thinking of contribution in Q4? And at what point in 2021, should we expect some synergy? Or is that more like two years out? Any color in terms of how you're integrating? Especially on the product side would be great.
Karen Rapp: Sure. Yes, this is Karen. So I had talked last quarter when we laid out our numbers about a revenue of -- in the range of $9 million to $12 million for OptimalPlus in Q4. And we're still on track for that at this point from a visibility perspective. We had talked about how it wouldn't be accretive until 2021. And that's still the case, especially with how fast we're accelerating the integration of OptimalPlus because of the benefit that we see. To your point, the synergy really is going to come from consolidating it with our existing NI business. And so we're going to quickly lose the visibility and the separation of OptimalPlus. We are not going to run it as a separate organization. It is going to be fully integrated, which is something that's gone really well so far. And so -- but we've talked about it being accretive in 2021, and that's still the intent. And especially with the opportunities that we're seeing on the top line, there's no change to that expectation.
Eric Starkloff: Yes. And I'll just add a little color, Mehdi. I've been on this revenue synergy side, I've been personally spending quite a bit of time with some of the top customers of both OptimalPlus and NI's existing platform. And I can just say, so just qualitatively, very, very pleased with just the value that, that capability delivers to those customers and the opportunity that we see to elevate our own relationship and value in these very strategic customers for us. And then when I talk about, as I made some comments in the prepared remarks about the vision that we have and the type of software ambitions that we have, this is a really important part of it. And we are going to be building more capability around that to be able to meet that vision.
Mehdi Hosseini: Thank you.
Eric Starkloff: Thanks, Mehdi.
Operator:  Just a reminder ladies and gentlemen, if you like to ask a question at this time, press star and one. Our next question comes from the line of John Marchetti with Stifel. Your line is now open.
John Marchetti: Thanks very much. Eric, I was wondering if you talk for a minute about the change in the larger order line? You mentioned the sequential improvement in orders below $20,000. But the orders above $20,000 took a pretty steep decline off of what was up last quarter. I'm just curious if you could talk a little bit about what you're seeing there? If it's a particular vertical that's really impacting that? And how to reconcile that maybe with the more positive order commentary in calling sort of 3Q the bottom here.
Eric Starkloff: Yes. I'll make some qualitative comments on that, and then if Karen wants to feather in quantitative comments she can. But I'll tell you, John, I don't have concerns there. That continues to be the growth driver. There's obviously timing and the opportunities are a little bit lumpier. When you think about these larger opportunities. So I think you're just seeing some of that year-over-year compare. That continues to be a sort of growth driver for the business overall, and we remain confident that it will continue to be. From a vertical, I mean, it was part of my commentary, of course, that the -- in semiconductor, there are some compares where we expected this to be a quarter that would be year-over-year down. And of course, in our semiconductor business, it is primarily in those larger order buckets and then the weakness in transportation has persisted and ADG has stayed relatively strong, including in the large order bucket. So I'd really -- I'd characterize that as more timing rather than a trend.
Karen Rapp: Yes. And John, we've been really pleased to see the fourth quarter starting with a trend up across both buckets, actually, the broad base as well as the large orders. So a good positive start to the quarter.
John Marchetti: And then maybe just as a follow-up, I'm trying to specifically -- I know you talked about it being a sort of a 3% headwind as we go through here. But I'm curious, just as you're talking with customers and things of that nature, I mean, is the weakness in China solely tariff related? Or have you started to see a bias or a move away, attempt to move away from at least U.S.-based providers as you're looking at that market more broadly?
Eric Starkloff: Yes. I mean, certainly, there's been talk about that, John. We haven't seen that. In fact, I've been really, really proud of our results in China. China did outperform the rest of APAC for this quarter. It was actually approximately flat. And given that headwind that we said it was 3% at the company level, obviously, that's a much more significant headwind to China. So to be flat, tells us a couple of things. One is, I think there's a pretty good recovery in the sort of general economic activity that's good to see. And the second is, credit to our teams. The agility of the teams to really pivot where they needed to and go after business that we can go after in light of the different trade restrictions. So credit to them, and we were pleased that exceeded my expectations for the quarter.
John Marchetti: Thank you.
Eric Starkloff: Thanks, John.
Operator: I'm showing no further questions in queue at this time. I'd like to turn the call back to Eric Starkloff for closing remarks.
Eric Starkloff: Thanks, everyone, for joining us today. Stay safe, and we'll talk to you again soon.
Operator: Ladies and gentlemen, this concludes todayâs conference call. Thank you for participating. You may now disconnect.